Carina Chow: Good afternoon. This is Carina, Head of Corporate Communications and Sustainability at Champion REIT. Welcome to the Champion REIT 2025 Annual Results and Analyst Briefing. Today, our CEO, Ms. Christina Hau; and our Investment and Investor Relations Director, Ms. Amy Luk, will present our 2025 annual results. And after the presentation, there will be a Q&A section. So without further ado, please, Christina.
Shun Hau: Thank you, Carina. Hello, everyone. [Foreign Language]. This year, 2026 is the 20th anniversary of Champion REIT. We are the second largest REIT in Hong Kong by market cap at this moment. And over the past 2 decades, we have been adhering to proactive asset management strategy on enhancing asset quality and delivering long-term value for our stakeholders. The property portfolio has grown by an acquisition of Langham Place Office and Mall, unification of ownership of Three Garden Road and the first overseas acquisition in London. And on sustainability, our Three Garden Road has attained the first Quadruple Platinum Existing Building in Hong Kong in 2024, and we will continue our commitment to ESG going forward. So let's look at the 2025 result highlights. The overall market sentiment in Hong Kong has improved, supported by stronger stock market, tourism rebound and interest rate drop, which restore business confidence. The robust capital market is driving solid office demand. Site inspection for Three Garden Road increased by 61% in the second half of the year compared with last year. On retail side, our proactive tenant management is paying off. The sales of our new tenants across different categories in 2025 record a remarkable increase of 80% compared with previous operators. IP-driven pop-up stores tied to major marketing campaigns delivered triple-digit sales growth. That's 8 -- generating 8-digit sales and 7-digit extra income. And on financial management, we continue to adopt a prudent approach and successfully secured a HKD 1.5 billion of banking facilities for refinancing the bank loan due in 2026 ahead of maturity and lower average HIBOR in 2025 has resulted in meaningful interest savings. So I now pass to Amy to walk through the overall financials.
Amy Ka Ping Luk: Thank you, Christina. Let's look at the 2025 full year results highlights. While we saw signs of market recovery and stabilization, the overall operating environment remained challenging, given abundant oversupply in the market and also change in consumer behavior. Under this market backdrop, occupancy of our portfolios remained stable and resilient and lower interest expense partially offset the impact of negative rental reversion. For the full year of 2025, total rental income dropped by 9% year-on-year to HKD 1,988 million and net property income dropped by 11% to HKD 1,613 million. Distributable income dropped by 10% to HKD 859 million. And then our distribution per unit dropped by 11% to HKD 0.1263. And looking at our balance sheet, looking at the debt profile, our gearing ratio maintained at a healthy level of 25.4% at the end of 2025. And for the debt refinancing completed in last year, we brought in new lenders into a syndicated loan, and we also secured a new bilateral facility with an existing lender. For debt maturing this year with outstanding balance of HKD 2,285 million as at the 30th December 2025, we took a proactive approach and secured HKD 1.5 billion of bank loan facilities for refinancing ahead of maturity. And we are now in active discussion with lenders for the remaining portion and got positive feedback from our lenders. The lower average HIBOR in 2025 brought 60 basis points drop in average effective interest rate to 3.8% comparing with 4.4% in 2024. This brought a meaningful interest savings, driving down cash finance costs by 13.5% to HKD 557 million. We also obtained inaugural A rating from Japan rating agencies, JCR and R&I last year, affirming our stable capital structure. And turning into valuation, our portfolio value stood at HKD 56.2 billion with unchanged cap rate at the end of last year. The per square foot valuation of Three Garden Road was less than HKD 20,000 per square foot, which is undemanding comparing with the notable transactions of central office. I'll now hand over to Christina to walk through the property portfolios.
Shun Hau: Thanks, Amy. And let's begin with Three Garden Road. The improving financial market sentiment has driven up demand for central office, and we observed increasing leasing inquiries from third quarter last year, while second half site inspection increased to -- increased by 61% year-on-year. And we have secured new tenants from the asset management and family office sectors last year. Currently, 67% of Three Garden Road tenant is banking and asset management related. And we adopt a proactive approach in lease renewals and over 75% of leasing expiring in 2026 has been successfully renewed, which enhanced income visibility and occupancy maintained at stable level at 81.6% in the market with abundant supply. The lease maturity profile is now well spread after all these actions in the next years after renewal with our anchor tenants last year. So at Three Garden Road, we are doing more than just providing office space. We are building a vibrant community and ecosystem. Our year-round calendar of festive and wellness event attracted over 6,700 person times. For Langham Place office, the property remains a preferred location for health care, beauty and wellness operators, while lifestyle and wellness tenants accounted for 68% of area as at 31st December 2025. And last year, we have introduced over 10 new wellness tenants as well as other sales services tenants to enhance tenant diversity. And occupancy remained stable at 86.9% as at 31st December 2025. And we continue to solidify our position as a premier wellness hub across 6 dimensions, namely physical, emotional, intellectual, spiritual, social and financial well-being. Our 6D Wellness channel have accumulated 4.6 million views since launch and a social wellness hall at 49th floor of the property held a series of wellness events such as social, sound healing, therapy dog yoga, dance work shop, which were well received by participants. And we also partnered with the Hong Kong Retail Management Association, HKRMA, to introduce the first quality service charter in Hong Kong for beauty and wellness operators with over 90% tenants -- related tenant participate. This sets a new benchmark for service excellence across beauty, health, medical and lifestyle categories. For Langham Place Mall, we continue to reinforce the positioning of the mall as a retail transactor with agile leasing and marketing strategies as the mall celebrated its 20th anniversary last year. Our proactive tenant management captured market trends and brought in up and coming new tenants, including popular IP brands, which resulted in double-digit sales growth in lifestyle segment. Occupancy of the mall maintained at a high level of 99.3%, while rental income was affected by replacement of anchor tenant occupying 13.8 percentage by lettable area, also some softening in tenant sales in particular category. So we adopt stay local trend global strategy by integrating local cultural elements with global retail trends. Last year, we introduced over 30 new tenants, including first in Hong Kong, Chiikawa Ramen Buta, and various tenants across different segments as shown in the slide. The new tenant generated sales of 80% higher than the previous tenant, demonstrating the positive result of tenant mix refinement. Throughout the year, Langham Place Mall delivered a strong and diverse event calendar. We begin with collaboration featuring local artists in emerging brands, followed by a series of fashion-driven activities designed to reinforce the mall's positioning as the leading retail trendsetter. And we also deepened engagement through partnership with global IPs, including Squid Game, Star Wars, Baby Oysters, Chiikawa, Kuromi and finished the year with the debut Noodoll in Hong Kong in the Merry PotatoMAS event. IP collaboration and emotion-driven experiences are popular across different generations. To capture this trend, we partnered with a range of global IPs to deliver differentiated and engaging experience in Langham Place Mall. This brought in pop-up store sales of marketing -- major marketing events recording triple-digit growth last year. Our regular festive season promotion events also continue to strengthen the engagement of our loyalty club members. During the year, our member base grew by 27% year-on-year and member spending increased by 11% year-on-year. So now I will pass to Amy to talk about the sustainability.
Amy Ka Ping Luk: Thank you, Christina. On sustainability, we continue to work closely with our tenants and business partners to drive measurable impact across our portfolio. Leveraging on artificial intelligence, we optimized the utilization of chiller plant at Three Garden Road, which resulted in 6.1% reduction in energy usage. Last year, our ESG Gala, the theme innovation, inspiration and integration gathered over 1,000 industry leaders and change makers. Also, our tenant engagement program, EcoChampion Pledge, delivered positive results with 80% of participating tenants formalized their energy targets and action plans. On social aspect, we continue to partner with community organizations to deliver meaningful social impact. Among these efforts on social and community, our ethical consumption pop-up store at Langham Place Mall, which promoted cautious consumptions engaged nearly 20,000 visitors. While we continue our support for the government Strive and Rise program for the third consecutive year, our Christmas celebration event, which connected the community in our Three Garden Road generated 9.7% in social value for each HKD 1 sponsorship. Our sustainability efforts continue to gain prestigious recognition. In 2025, we were honored to receive the GRESB 5-star rating for the third consecutive year, and we are also pleased to be awarded AA+ in the Hong Kong Sustainability Benchmark Index. These achievements reaffirm our commitment to deliver high standards in sustainability. I'll now pass back the time to Christina to talk about the outlook.
Shun Hau: Thanks, Amy. Looking ahead, we will continue to adopt proactive strategy to optimize performance across our portfolio. For office, we aim to solidify Three Garden Road's position as a top wealth management destination. Currently, we will diversify tenancy at Langham Place Office to build on its wellness hub foundation, ensuring resilience amid ongoing supply pressure in the office market. For retail, the average daily inbound of Mainland and overseas tourists increased by 11% and 16%, respectively, in 2025, despite the outbound Hong Kong residents remain. The growth in tourist arrival should provide support to the Hong Kong retail market. And we will reinforce the stay local trend global strategy for Langham Place Mall and continue to capture evolving customer trends to refine our tenant mix. At the same time, we will enhance our retail payment offerings to mitigate rising headwinds from online retail. For liability management, we will explore opportunities to broaden our lender base and maintain a balanced portion of fixed rate debt. And finally, we'll further strengthen our role as a super connector and super value adder to create value through deeper collaboration with tenant partners and stakeholders across our ecosystem. And this is the end of our presentation. Thank you.
Carina Chow: So let's come with the Q&A section. So please feel free to raise your hand and state your name and company.
Xinyuan Li: So this is Cindy from Citi. Three questions from me, please. The first one is on your 20th anniversary. I'm wondering if you would consider returning to 100% distribution to celebrate that. Second question is on the office enquiries. So obviously, the 60% increase in inflection is very encouraging. I'm just wondering if that would translate into, say, better expectation on occupancy and rents into 2026. What's the current spot rate and what's the expectation for 2026? The third question is actually related to the budget speech today that government mentioned to facilitate brief restructuring or privatization. How is your reading into this? And do you expect Champion REIT to benefit from such in any aspect?
Shun Hau: Thank you, Cindy Li. So back to your first question about the 100% distribution. Currently, we maintain the 90%, I think, is quite prudent and suitable because we retain some of the surplus to upgrade our premises by putting up CapEx work to improve the quality, the hardware of our building. So that, of course, is subject to the Board's decision, but we did think this is -- at this level is appropriate. And for the office inspection, yes, it is encouraging. The inspection growth by 61% and it, in fact, did translate into more leases or new leases in 2025, in fact. So we hope to see the momentum continue, and with the momentum of the stock market and financial market and financial performance, wealth management in Hong Kong, we do see the increase in demand, then it will induce expansion needs and also new office setup needs in Hong Kong that require a prime Central location as the office premises. So the current spot rent for Three Garden Road is mid-60s to 70. So yes, regarding the reprivatization is also -- at this moment, we have not touched a point on this issue yet. And yes...
Wai Ming Liu: This is Raymond Liu from HSBC. I've got 3 questions. So the first question is about the Three Garden Road. Can management elaborate the change in the passing rent of the project on the office side over the past 12 months? Should we expect similar changes to take place in 2026? This is the first question. And the second question is about the rental reversion. Just wanted to have more idea on this one. Because management commented over 75% of 2026 expiries were concluded. So can management share with us a little bit more color about the rental level that you signed year-to-date compared to the latest passing rent? So the last big question is about the Langham Place Mall. So can management share with us the tenant sales performance year-to-date, seems that the footfall has been very good based on our on the ground observation.
Shun Hau: So the change in passing rent in 2025, in fact, is dragged down by the renewal of an anchor tenant, okay, which is around mid-teens of our occupied area. And the rent reversion, we do see there's narrow -- the gap has been narrowed, and we foresee that the rent reversion gap will be continued to remain a narrower situation. So the sales of the Langham Place Mall, when we look into the Hong Kong retail sales, yes, in fact, the last year's 1% growth of total retail sales was mainly driven by the double-digit increase in online sales. So that imposed some impact on the offline sales, which, in effect, has decreased by 0.1%. And within that, in fact, the electronics and also the watches, jewelry, especially the gold price had risen a lot in 2025, right. That the gold rush did impose a huge increase in the sales of the jewelry shops. So -- but however, in Langham Place, we don't have this jewelry shops in our portfolio. So we are not able to capture that same amount of sales increase in our Langham Place Mall. And we have 5% decrease in sales, mainly driven by the high base in 2020 high base back in 2024 on the beauty segment.
Mark Leung: This is Mark Leung. I got about 2 questions is regarding on the office. First of all, we saw that the vacant space is roughly less than 10% for Three Garden Road and around maybe 13% for Langham Office. Could you elaborate whether these 4 vacant space are interconnected? What I mean it is a 12, 13, 14 or it's really spread around. I think that's the first question. And then the second question is, have we -- if it is more like a connected big space, have we seen any interest from an anchor tenant? Do you see possibility for anchor tenant take any large space from these vacant 2 buildings in the next 12 months?
Shun Hau: I think for our Three Garden Road, some are whole floor, but they are not connected, okay? So for Langham Place, also it's the same situation. Some are scattered. Some -- we have some whole floors vacated by some anchor tenants, okay? But do we think -- do we foresee their needs? Yes. We do, for example, some tenants that require larger in area, new tenants, we have been actively in discussion, but still not yet anything we have -- we can disclose now, yes.
Amy Ka Ping Luk: And in fact, last year, we got existing tenant at Three Garden Road taking more space from the financial sector.
Shun Hau: Yes. So they expanded a whole floor to set up their private bank section.
Percy Leung: This is Percy from DBS. I have 3 questions. First of all is regarding your strategy at Three Garden Road. I understand that inquiries have improved significantly recently. Just wondering what is your leasing strategy going forward? Would you be more -- continue to be more flexible in terms of the rents in order to secure higher occupancy, which will you prioritize more? And also what is the expiring rent for 2026? Secondly, in terms of the Langham Place Office for 2026, could you give us more color regarding the expiry profile? And what's the current renewal process for that chunk? And thirdly, I got a question regarding the Langham Place Mall. I understand that our rental income actually dropped quite a bit, mainly due to the major cinema operator lease renewal as well as, I guess, lower turnover rent. However, when we take a look in terms of the passing rent per square foot is actually higher compared to December 2024. Just want to check what's the strategy...
Shun Hau: So for Three Garden Road, I think to maintain higher occupancy is also our top priority because we want to mitigate the expenses of the net property expenses. That means the building management fees, et cetera. So our priority remains the same. We provided flexible leasing terms and also tailor-made solutions. And also we -- last year, we have built manufactured units that were quickly leasing out to cope with the market needs and to cope with those commercial related, family office-related tenants demand. So we continue to do that. So also, we will look into our hardware provisions as well in order to -- for us -- we have kickstarted the toilet renovation in 2022, and we'll complete it in 2027. But we are undergoing a total review and study of our hardware in Three Garden Road, whether there is room for upgrading and improvement to uptick our competitiveness. So that's our strategy. And expiry in 2026 of Three Garden Road is around 80s. So -- and also for Langham Place Office, the renewal is not as -- the early renewal situation is not happening in Langham Place Office because they are operators, they are really using the premises for doing business. So they are like retailers, they would wait and see how their business going. The macro -- they are very sensitive to the macroeconomics and how their business is doing. So they tend to confirm the renewal at closer to their renewal date or the lease expiry date. And that's the usual pattern we saw in the Langham Place Office. And actually, the passing rent as at -- on the retail side, the passing rent as at 31st December of 2025 is higher because of the base rent and the turnover rent at that date, in fact, is doing better than 2024. So that's the reason.
Carina Chow: So if there's no further questions, so we could conclude the briefing section today. Thank you for joining us.
Amy Ka Ping Luk: Thank you.
Shun Hau: Thank you.